Operator: Greetings, and welcome to the Vertex Energy First Quarter 2014 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like turn the conference over to your host, Mr. Ben Cowart, Chairman and CEO. Thank you. You may begin. 
Ben Cowart: Good morning. Joining me today on this call is Mr. Chris Carlson, our Chief Financial Officer; Mr. Matt Lieb, our Chief Operating Officer; and Mr. Dave Peel, our Chief Operating Officer of the Omega Group; Michael Porter, Investor Relations Consultant at Porter, LeVay & Rose. 
 Before we begin this business portion of this call and on behalf of the company, I'd like to inform you that the company expects to make forward-looking statements during today's call. Statements include words such as believe, anticipate or expect, and statements in the future tense are forward-looking statements. These statements involve known and unknown risks and uncertainties and are based on management's current views and assumptions regarding future events and operating performance. A number of factors could cause the company's actual or future results to differ materially from its current expectations. 
 Thank you, everyone, for joining us on our First Quarter 2014 Earnings Call for Vertex Energy. This call coincides with today's filings of our 10-Q for the quarter ending March 31, 2014. I want to start off by giving you a few highlights from Q1, and then I'll turn the call over to Chris Carlson, our CFO, so that he can walk you through our first quarter financial performance. Following Chris's presentation, I'll provide some thoughts on our plans for the remainder of the year and I'll make some closing remarks. We'll then open the line for questions. We will not be reporting any financial results related to the operational businesses of our recent-announced acquisition of Omega Holdings Company, LLC, as this deal closed during the second quarter of this year. 
 The first quarter of this year showed an important improvement in revenue and gross profit relative to Q1 2013. While the net income decreased slightly due to -- primarily to acquisition-related costs for the Omega deal that were incurred during Q1 of this year. Here are a few quick highlights that we'll touch on in more detail during this call. Our revenue increased by 42% relative to the first quarter of last year to $47.3 million. Gross profit increased by approximately 48% relative to the same quarter last year to $5.1 million. Overall volumes of product sold, an important matrix of our business as it illustrates our reach into the market, increased by 41% for Q1 2014 versus Q1 2013. Our overall per barrel margin increased by 5% relative to the same quarter a year ago. We increased our ownership percentage in E-Source, a part of our Vertex recovery business unit, to 70%. We grew the volumes of our collection business by 23% compared to the same quarter last year. This is an important improvement, as we are able to reduce our feedstock cost at TCEP by collecting, rather than aggregating, large volumes of used motor oil. We produced significant improvements in our TCEP volume during Q1. 
 Before discussing our outlook for the remainder of 2014, I'd like to first turn the call over to our CFO, Chris Carlson, for a more detailed review of our financial performance during Q1 2014. Chris? 
Chris Carlson: Thank you, Ben. For more information, please refer to our press release issued today, our latest Form 10-Q for the fiscal quarter ending March 31, 2014, as well as our other filings made with the Securities and Exchange Commission. I also want to mention before we proceed that all financial numbers are prepared, unless noted, in accordance with Generally Accepted Accounting Principles. I would like to now discuss our results. 
 For the quarter ended March 31, 2014, we reported consolidated revenue of $47.3 million compared to $33.2 million in Q1 2013. This represents a 42% revenue increase. The revenue increase was due primarily to strong revenue growth in both our Refining & Marketing and Recovery businesses. Our Black Oil Division revenue for Q1 2014 was $23.6 million as compared to $23.3 million in the first quarter of last year. TCEP, which is a business unit within our Black Oil division, generated $19.7 million in revenue for Q1 2014 versus $15.2 million in Q1 2013. This 30% year-over-year increase was driven by strong volume growth of over 41% compared to Q1 of last year. The Refining & Marketing division produced revenue of roughly $20 million in the first quarter versus $8.8 million in Q1 2013. This 127% increase in revenue resulted primarily from a 155% increase in production volume during the quarter. Vertex Recovery, which includes the E-Source business, more than tripled revenue relative to Q1 2013 from $1.2 million to $3.95 million. 
 Gross profit increased in the first quarter to $5.1 million compared to $3.5 million during the same period last year. This 48% increase is primarily attributed to our ability to source feedstock at a lower cost combined with increased overall volumes during the quarter. Gross profit for the Black Oil Division was $2.48 million for the quarter, a 10% decrease over last year's Q1 gross profit of approximately $2.78 million. TCEP had a gross profit of $2.6 million in Q1 2014 compared to a gross profit of approximately $2.7 million a year ago, representing a decrease of approximately 4%. While we were able to improve TCEP volumes by 41%, TCEP end-product sales price decreased 8% and the cost of aggregated feedstock increased as we reached deeper into the market to feed our increased production. Additionally, unusually harsh weather resulted in 4 lost operating days at TCEP as well as a short-term increase in feedstock prices. The Refining & Marketing division generated gross profit of $1.58 million for the quarter, a 160% increase compared to Q1 2013's gross profit. Vertex Recovery produced gross profit of $1.09 million during the quarter compared to only $79,152 during Q1 of 2013. 
 Selling, general and administrative expenses increased in Q1 2014 to $4.19 million relative to the first quarter of last year's figure of $2.26 million. Part of the growth in our SG&A expenses is related to increased sales and marketing efforts within our H&H used oil collection business, which grew 23% year-over-year. As Ben mentioned earlier, increasing the volume of oil that we collect allows us to further reduce our feedstock cost at TCEP and improve our overall margins. Additionally, $600,000 in SG&A expense for the quarter was related to the Omega deal. 
 We had net income of roughly $862,000 or $0.04 per fully diluted share in the first quarter of this year. This was a 20% decrease relative to 2013's Q1 net income of roughly $1.08 million, which represented a per-fully-diluted-share figure of $0.05. I wanted to point out, however, that had we not incurred the acquisition-related expenses associated with the Omega deal, our Q1 net income would have been approximately $1.46 million, or roughly 35% ahead of last year's Q1 net income. 
 I want to talk a little bit about the Omega acquisition. On May 2, we announced the first of 2 planned closings related to this transaction. This first closing included the acquisition of the assets at Marrero and Myrtle Grove and the acquisition of all of the outstanding equity in Golden State Lubricants Works, LLC. We expect to close on the second and final part of the transaction, which principally consists of the Bango asset, in Q3 2014 when the Bango facility in Fallon, Nevada, is reconstructed and operating near nameplate capacity. As part of the transactions occurring at the first closing, we entered into a new $40 million senior secured term loan with Goldman Sachs. Approximately $5.8 million of the Goldman term loan was used to retire our existing term debt facility with Bank of America. In addition, we have a $20 million line of credit with Bank of America which we currently do not have borrowings under, but which we intend to use in the future for working capital needs as we grow the business. We have also agreed to loan Omega up to approximately $5 million to help fund the reconstruction of the Bango facility and for certain planned capital expenditures related to the Bango facility. These loans mature on March 31, 2015, and bear interest at 9.5%. 
 To recap the financial terms of the Omega acquisition, which changed slightly from the announcement, we agreed to an upfront purchase price of $30.75 million in cash and 2 million shares of Vertex stock, which consideration is subject to adjustment based on beginning inventory balances with respect to each closing. Vertex has also agreed to assume approximately $7.8 million of capital equipment leases and other liabilities. There's also a stock earnout associated with the transaction based on Marrero generating EBITDA greater than $8 million and Bango generating EBITDA greater than $3.5 million. The earnout calls for up to approximately 471,000 Vertex shares if Marrero generates $9 million of EBITDA during any 12-month period from the closing through December 31, 2015. 
 In addition, if the Marrero facility generates greater than $9 million of EBITDA during calendar 2015, Vertex will issue up to an additional approximately 771,000 Vertex shares calculated on a pro rata basis based on the EBITDA Marrero generates between $9 million and $18 million. For example, if Marrero's EBITDA is $12 million in calendar year 2015, Vertex will issue an additional approximately 257,000 Vertex shares. 
 The Bango earnout is based on the EBITDA generated at the Nevada plant in both calendar years 2015 and 2016. Vertex will issue up to $3 million of stock each year calculated on a pro rata basis based on the EBITDA Bango generates between $3.5 million and $5 million. The share price used to calculate the number of shares for the Bango earnout will be determined at the end of the earnout period using a 10-day volume-weighted average price. 
 I'd like to now turn the call back over to Ben Cowart, our CEO. 
Ben Cowart: Thank you, Chris. As we look ahead to the rest of this year, I want to share some thoughts on recent activities with the business and where we see Vertex heading for the rest of the year and into 2014. Given our closing of the first part of the Omega transaction earlier this month, our future quarterly financial results will begin to look materially different going forward as the scale, geographic footprint and diversity of end products of the consolidated business will be marketably changed relative to what we have been reporting. 
 As a reminder of the assets involved, the Omega Marrero facility has 60 million plus gallons of VGO capacity, the Myrtle Grove facility locate -- location includes 45 acres in close proximity to the Marrero plant that could be developed to produce higher-grade products in the future. The Golden State Lube Works location provides the company with blending and storage capacity in the Western U.S., and the Bango facility, which will be part of the second closing, has the capacity to produce over 20 million gallons of re-refined base oil -- I'll say, 17 million to 20 million gallons of re-refined base oil. 
 As a result of the Omega deal, our combined company is well positioned to leverage the feedstock sourcing and end-product sales expertise that have been core strengths of Vertex historically with the technical know-how and production scale from Omega. Going forward, we have a fully integrated company with a more diverse array of end products as we now play, not only the fuel, fuel oil, but also lubricant and back-end gas oil markets. We believe this diversification makes us less susceptible to swings in any end-product market. 
 Lastly, we've seen -- we've been focused in recent years on executing a regional strategy based on the western portion of the Gulf Coast. This regional approach allowed us to focus our efforts on aggressively increasing our feedstock market share in support of our nearby refining capacity while developing more localized markets for our end products. As a result of the Omega deal, we can now begin to replicate that strategy around the various Omega assets and facilities. 
 Geographic concentration is something we are keenly focused on because we believe this will allow us to produce better financial results and give us a more defensible position within the industry. 
 Before we move on to the question-and-answer portion of this call, I want to let the listeners know that if you have any follow-up questions or comments, please feel free to contact our Porter, LeVay & Rose Investor Relations Representative, Marlon Nurse, at (212) 564-4700. I also want to mention that a digital replay will be available by telephone approximately 2 hours after the call's completion, for 2 weeks. Details on how to access the replay can be found in our recent press releases. 
 Operator, we're now ready to take a limited number of questions pertaining to the matters discussed on this call and our 10-Q. Remember, we're unable to discuss any information or business plans which are not publicly available. Thank you. 
Operator: [Operator Instructions]  Our first question comes from Michael Hoffman with Wunderlich. 
Michael Hoffman: On the Black Oil side, the -- can we flesh out a little bit about what was happening in the market with regards to price for oil versus finished goods? How much of that was the -- just severe cold weather sucking up BTUs and that kept -- that propped up the PFO number while you were facing finished-good compression? And what's the pattern now? Now that we have had -- we're through the winter, we're into the seasonal oil changes, what are we seeing as the dynamic now? 
Ben Cowart: Yes, good question, Michael. Sale prices, or let's just say Index pricing, fell about 8% quarter-over-quarter -- or year-over-year. And so because of the pay-for-oil issue and pressure on the supply, I guess we lost about 4% between the lower price that we did pay and the falling market. I would say, a bigger portion of that 4% was relative to the points you just made, which are severe weather conditions through the winter that sucked a lot of the used oil into the BTU markets. We ended the quarter basically at the bottom of every tank across the system. So -- and the increased production at TCEP didn't help matters. So it kind of -- it was a 2-edged sword, if you will. We got hit by the weather and then we also got hit by our own production that put a short-term pressure and demand in our markets on the raw material. So we felt like the growth and the long-term value of the increased production was far greater for us to capture. So we do believe that raw material pricing is going to come back in-line. The transaction with Omega has certainly positioned us very well to better manage cost of raw material going forward. So that's very positive. And we do see inventories incrementally building against our production volume. So we're -- all the plants are running and running well. And they're running at these higher capacities and we're gaining a little ground every day. So that tells me the market is starting to ease up. It's going to take several months before we find balance again, and potentially, there could be additional supply to the refining capacities operating out there. So we hope to see some of those benefits over the next couple of quarters. 
Michael Hoffman: So when we think about gross margins of the Black Oil Division transitioning from 2Q -- 1Q into 2Q, the pressure that you had doesn't come off that much in 2Q? It's more likely to be later? That's somewhat of... 
Ben Cowart: I think that's right. Yes, I would agree with that. 
Michael Hoffman: Okay, okay. So thinking about sort of flat gross margins in Black Oil is probably  -- excluding the impact of Omega, would be the right way to think about the business sequentially, 1Q, going forward? 
Ben Cowart: Yes, we actually -- yes. For Black Oil, I would agree with that, yes. But we're -- across the broad, our gross profit is continuing to, on a percentage basis, move in the right direction. 
Michael Hoffman: And then the non-TCEP revenues were down pretty healthily year-over-year, but more importantly, down sequentially. Is that -- that's as much about the weather as anything? Because that's -- that's everything that can't go into the TCEP but has got BTUs disappeared elsewhere? 
Ben Cowart: Yes. That had a lot to do with it. 
Michael Hoffman: And would we see those volumes come back a little more aggressively? So you could see that number come back, maybe a month... 
Ben Cowart: Yes. I think we'll see some improvement in those areas. 
Michael Hoffman: Okay. All right. And then can we talk a little bit about Omega in the context of how to think about what the revenue contribution should be off of part 1 for the partial quarter? How do you frame that for us? And I mean, is it just simply the math of the size of the whole company less what we approximate Bango is and then -- for 2 months? I mean, is that... 
Ben Cowart: Yes, I think their trailing 12 revenue is about $185 million for these business units, which included Bango. And so if you made the adjustments for the Bango facility being down, then, I would say that run rate is still very consistent, if not an opportunity to improve on. 
Michael Hoffman: And can you frame for us how you would sort of proportion Bango in the $185 million? 
Chris Carlson: Yes. Bango in that $185 million represents about $40 million to $50 million. So if you're just looking at Marrero, it's $120 million to $140 million. 
Michael Hoffman: Okay, okay. And then how do we think -- that's a business that should have materially different gross margins, comparatively, to the legacy company. Do you want to help us a little bit about the directionality of that? 
Chris Carlson: Yes, good point. We -- what we're seeing and what we expect is about 13% to 16% gross margin coming from those facilities. 
Michael Hoffman: Okay. And then as we think about, in the Refining business, you did make some changes in the second half last year that have led to some fairly significant volume. So we should see that trend that was in 1Q carry into 2Q and then I get a tougher comp in 3Q, that's the way to think about looking at the Refining business as well? 
Ben Cowart: Yes, on the TCEP side of it, right? 
Michael Hoffman: Well, no, I'm thinking of the Refining & Marketing. Your gas volume stock, your cutter foot volumes, your Pygas volumes are all up over 100%. 
Ben Cowart: Yes. We had a strong quarter in Q1. The trend is still continuing to grow that business. So it's very healthy, very solid, and moving forward. We've made some investments there that has increased our capacity that we seem to be able to fill with new feedstock. So... 
Michael Hoffman: So a like aggressive year-over-year growth is not unreasonable given that the tougher comp from the capacity expansions in the -- came in the third quarter? 
Ben Cowart: Yes. I would agree with that. 
Chris Carlson: Yes, that's right. 
Michael Hoffman: Okay. And then can you frame your -- given the variability of the project nature of the recovery business, can you talk about sort of what the pipeline looks like? And how do you think about that playing out in the context of that -- this is where your revenues could get lumpy on us, and helping us just understand the lumpiness as you look forward, a little bit? 
Chris Carlson: Yes, that's correct. So in the first quarter, specifically as we talk about E-Source, they spent a lot of time gearing up, getting ready for projects, and in the second and third quarter, we expect to see the revenue and the benefit from those projects. So to your point, they tend to be lumpy, they tend -- the revenue tends to go up and down. So second and third quarter, we see it stabilizing. 
Michael Hoffman: Okay. And then switching gears, this is really getting into minutia but I have to admit, when the lawyers start writing parts of your 10-K -- Q, it forces us to ask these questions. So you have a very nice description of the credit agreement with Goldman Sachs in the document, but there is a section where you note that you're agreeing to a minimum EBITDA in 2Q '14. I want to make sure I understand this correctly. So but for all intents and purposes, you're forecasting the second quarter's EBITDA at a minimum of $4.25 million, is that correct? 
Chris Carlson: That's correct, with adjustments. 
Michael Hoffman: With adjustments. So can you frame what the adjustments might look like as far as scope of those? 
Chris Carlson: Well, they -- I mean, at a high level, there are certain synergies and expectations that we expect to see in the transaction as we merge these 2 companies. And we're being given credits for some of those as we step in. 
Michael Hoffman: And as I think about -- I mean, would that be $1 million worth of credits in the second quarter or $500,000, just so? I mean, this is -- this whole new adjusted EBITDA concept creates an area of variability that none of us can model. 
Chris Carlson: Well, yes, I mean keep in mind it's strictly for banking covenants that those synergies are baked in and that adjusted EBITDA is set out there. And it's based on the last 12 months. 
Michael Hoffman: Next quarter, that's our number? 
Chris Carlson: Yes. Each quarter they ratchet up as it lays out in the Q and the K that was released. 
Michael Hoffman: Right. I mean, it's -- if I've read this correctly, but -- you're basically forecasting by 2Q '18, you're doing $17 million EBITDA. 
Chris Carlson: That's correct. So it's on an LTM basis with all the synergies baked in at that point. 
Michael Hoffman: So that's not a quarterly number, that's a trailing 12 month number? 
Chris Carlson: Yes. 
Michael Hoffman: Okay. That's -- that wasn't clear. It looked like that was for the quarter, the individual quarter you would do that level. 
Chris Carlson: Yes. No, it's at that quarter ending that we've got to be at that point on an LTM basis. 
Michael Hoffman: On an LTM basis. Okay. And then the leverage covenant's 4x, is that correct? 
Chris Carlson: That's correct. 
Operator: Our next question comes from Chad Bennett with Craig-Hallum. 
Chad Bennett: Can you talk about, in the Omega assets, now that you've, I guess, you've only been closed a couple of weeks here, but you've probably kind of seen the results of the Marrero facility for over a month, kind of how that's operating relative to expectations? And then, overall, what should we think about as a depreciation and amortization number annually kind of over the next 12 months for Marrero and Bango? 
Ben Cowart: Okay, I'll take the first part of that while Chris gets you your answer on the depreciation and amortization. The plant, we actually received the plant in Marrero coming right out of a turnaround, which is very good for the company. So that downtime was handled prior to -- or right at the closing. So the plant's clean. It's running really well. We had very strong production on the plant just -- in the last few days. So very pleased with the run rates, and we feel like we've got -- we always knock on wood because anything could happen with weather, et cetera, but we plan to run that plant pretty hard for the next 3 or 4 months, maybe up to 6 months before we have to turn the plant around. So that's really good to get a good, clean start. That'll help us drive performance like we planned to do. We're spending some time out on the West Coast early, working on our markets for our finished base oil and our blended product markets. So we're focused in that area early on to get ahead of the plant restart, and so construction's going well on that end to bring the plant back online. We'll be playing real close to that facility through the restart. So everything looks real good. Our TCEP operation is just knocking it out. We were very pleased with our operating results, our costs, just the production levels that we're seeing from the investments we made last year. So that's really doing well. So I'm real pleased with all the refining businesses. And the main thing is just getting the input cost back in line and getting our inventories rebuilt. And the winter's really set us back, and this transaction has been a challenge and kind of disrupted supply on the Omega side. But we're recapturing that supply and everything's starting to fold in like we wanted it to. Chris? 
Chris Carlson: From a depreciation standpoint, Chad. What I'm looking at for the Omega facilities is $2.5 million on an annualized run rate. And then when you look at Vertex, we're right at, I guess, $3.7 million. So that's how it breaks out now. And keep in mind, we've got the purchase price allocation and the Super 8-K that's going to come out shortly. So the Omega may get adjusted a little bit, but that's where it's modeled out right now. 
Chad Bennett: Okay. And then, Ben, can you maybe address with -- now that you have Marrero and you're in the VGO market, there's some low sulfur regulations out there, I believe more in the marine market, that, I think, are coming in 2015 that people believe will help VGO pricing, or more the clean VGO, if you call it -- if you want to call it that. Can you talk about the impact there and kind of your thoughts? 
Ben Cowart: Yes. There is a new emerging market potentially for our VGO spec, our product. And we're in discussions with multiple new buyers for that market, and those discussions are going well. We haven't come to any kind of firm offer or transaction or contract at this point, but there is a real meaningful opportunity related to these new regulations and it appears our product is a good fit to meet the new requirements. So we're very excited about that. 
Chad Bennett: Okay, and then last one for me, maybe for Chris. Where is pricing kind of quarter-to-date? Maybe it's a different way of asking the prior number of questions that were asked. Where is index and kind of your relative premium and discount on the end product and collection side today, this -- kind of this quarter year-over-year? 
Chris Carlson: Yes. I mean, year-over-year, as noted, the market's down about 8%, and that's when we look at the 3% Platts market. The last 6 months, the market's been relatively flat, which we view as a good thing. It's been fairly stable. Fourth quarter '13 and now first quarter '14, it's been stable. Pricing, as noted, year-over-year is flat also. But we look at that going into the second quarter as pricing will probably, or we expect it to improve. So it will go down slightly. 
Operator: Our next question comes from Jeremy Hellman with Singular Research. 
Jeremy Hellman: I just want to go back to some of your prior comments, and if I interpreted it right, when you're talking about TCEP and there's pressure on the input cost, but you're still running the TCEP full bore, it's presumed, I'm assuming, to satisfy customer interest and the like. If that's all right, and I'm following that, did you see anything competitively in the market, given that we had this very difficult winter, that's allowed you to pick up incremental customer, customer share, anything competitively that you feel has benefit -- that benefits you in the long run as a result of the strategic decisions you've made through the quarter? 
Ben Cowart: Well, at the end of the day, the market is there for our TCEP product and for the VGO product from Marrero. So there's plenty of demand and buyers, and I believe the market's good at these prices relative to the major indexes, whether it's VGO or 3% #6 Oil. So that's good. There seems to be additional buying capacity for the additional volume we're producing without compromising our index premium. So that's good. I think the key, Jeremy, is just accessing the raw material at a good market price and not putting too much demand on that raw material in a short period of time. So I think, between the ramp up in our capacity, between the harsh winter and between the low inventories that we got as we took over the Marrero facility in New Orleans, those 3 factors have some pressure -- short-term pressure on the raw material based on these new production rates across the refining capacity in the Gulf. So that's going to take us several months to kind of weather through that and rebuild our inventories, and let's see what the supply-and-demand balance looks like at that point. I anticipate that to start to move well in our favor as we go into third quarter. 
Jeremy Hellman: Okay. And one detail that caught my eye reading through your 10-Q, and it's around the old Vertex Holdings, L.P. or an out that you had, and you missed last year's one, and I saw that you guys put a 25% likelihood that you might miss the 2014 number, which was $12 million, if I'm remembering right. Does that earnout get adjusted for Omega? Or I'm assuming it's based on the legacy Vertex business, is that right? And just kind of your thoughts behind having to assign that probability to it? 
Chris Carlson: Yes. I mean, based on the fourth quarter and what the auditor saw at that time, that was the reason for the 25% reduction. That earnout is based on the overall business at September. So it'll be based on the last 12 months of the business, September 2014. 
Jeremy Hellman: Okay, so it includes Omega, then. Okay, yes. So I would think then, it would seem that, that 25% number could probably be changed pretty soon, I would think, then? 
Ben Cowart: We sure hope so. 
Jeremy Hellman: Yes, okay. And then just one last one for me, just kind of more of a qualitative question. I know it's still early in the game, but as you guys have been working through bringing Omega on, anything to highlight, both positive or negative, that has -- something that's coming better than expected as you've gone through this? And anything that has disappointed you more than you might have thought? 
Ben Cowart: No, I think there's no big surprises. I think we're pleased with the way the plant came up and is running and operating. I think our technical team has done a real good job of just staying focused on the important part of operating these plants. So that's good. I think receiving empty tanks on feedstock has -- was a little bit of a disappointment versus what we expected to get. So that's got us a little bit on the run to capture more raw material. So we're having to double up on reaching the market and getting that feedstock in to keep these plants at the capacity -- production capacity they're running at. We seem to be doing that, so I'm very pleased with our commercial team on the Vertex side that is taking on those responsibilities rather quickly. And that's going as well as it could. So it's a little early. We got 2 or 3 weeks now, and what we've learned just through our due diligence part of the process, but everything seems to be lining up and we feel like we got a good handle on the business so far. Things are going well. 
Operator: Our next question comes from Charles Redding with BB&T Capital Markets. 
Charles Redding: Any updates at Myrtle Grove? I mean, do you see this really as base oil production facility or are there other legitimate uses for those assets that you might seriously consider kind of given the proximity to Marrero? 
Ben Cowart: Yes, it's always viewed as a potential extension to the Marrero plant. It was originally designed and focused to take the VGO and convert it into Group II base oil. I'd say, the majority of those assets and investments have already been made to do that. With the low base oil prices and the high VGO prices, it doesn't make the best use of those assets. So we're looking at multiple projects for that site. That's a very nice facility. There's a lot of dollars that's been invested in the site and we hope to make some announcements as we firm up some of these projects and opportunities for those assets and speak to that in the future. So we don't have anything to announce today, but it's very important to note the value of that asset and its capability in producing additional EBITDA for the company. A lot of dollars invested there on that site. So we're focused on that. 
Charles Redding: Great. In terms of potential product derivative to Golden State, where do you see demand kind of taking production here in terms of finished products at the blending facility? 
Ben Cowart: Well, that's another early question and one that I'm personally focused on getting my hands around, with a trip out this week to spend time with our team and really look at those markets and the opportunities for the finished products and for those assets. So we believe the market is strong for finished products, specifically in California, and our location, with our blending plant being in California, allows us to access that market. There's more demand for product and base oil than there is manufacturing supply for base oil. So that's good for our base oil demand. So the market conditions seem to be in favor of our business model. Even though base oil prices are a little bit soft around the country, the West Coast seems to be holding up better than the other parts of the U.S. And for finished products manufactured from re-refined base oil, California has some additional incentives -- tax incentives that we should enjoy as well. So it's a little early, and I hope each quarter we can give you a more positive report on our progress. That's our plan. 
Charles Redding: That's helpful. And then, I guess, the last one for me. On the NOL, is there any -- is it fair to assume that there's no set timetable to kind of work through that in offsetting future profits? 
Chris Carlson: No. I mean, it's available into the future and we just continue to work away at it as we produce net income. 
Operator: Our next question comes from Tom Bishop with BI Research. 
Tom Bishop: I was wondering how the Omega acquisition will affect the tax line. Will that continue to be 0 this year or? 
Chris Carlson: Yes, it will. We'll still be able to utilize the NOL with the Omega business rolling in. 
Tom Bishop: I mean for GAAP reporting purposes, though. I know, on a cash basis, you can. But as far as reporting and analysts estimating EPS, we can still assume 0? 
Chris Carlson: Yes. 
Tom Bishop: Okay. And when you talk about rebuilding inventory, I -- as I understand it, you're talking about your used oil to process your feedstock, as I'm hearing you, doesn't the empty feedstock tanks impact the acquisition price for Omega? 
Ben Cowart: Yes, there were adjustments made because of low inventory that gave us credit in the transaction. 
Chris Carlson: That's correct. 
Tom Bishop: Because that $30.5 million or $30.75 million didn't seem much different. 
Chris Carlson: Well, that didn't -- I mean, that didn't change, but was -- what was set was the amount of inventory that was going to be required at closing. So there's still adjustments to come. 
Tom Bishop: So are you saying that $30.5 million will come down or... 
Chris Carlson: No, it won't change. 
Tom Bishop: But were you buying the working capital separately? 
Chris Carlson: Yes. 
Tom Bishop: Okay. And finally, there's a wide range of estimates for this year. I mean, for -- of $0.29 to $0.58, and for next year, it's 100% range also of $0.52 to $1.10. Is the low end of that -- 2 of the people seem to be kind of higher and one of the analysts seems to be kind of low. Is that low end, hopefully, an old number or something? 
Ben Cowart: Yes. I think the low-end report has not been updated. I think they were waiting to see the transaction close, maybe they're waiting on some additional information. So we really hadn't seen the update that includes the Omega transaction. 
Tom Bishop: For one of those guys. Okay, that's good to hear. And the Super 8-K that'll have more detail on the consolidated entity? . 
Chris Carlson: Yes, absolutely. 
Tom Bishop: And that'll be out when? 
Chris Carlson: Probably the end of June. 
Operator: It appears there are no further questions at this time, I will now turn the conference back over to management for closing remarks. 
Ben Cowart: Okay. Well, thank you, everyone, for calling in. We appreciate your interest in our business and your support in the company. If you have any, again, any further questions or comments, feel free to reach out to Marlon Nurse at Porter, LeVay & Rose at (212) 564-4700. And again, thank you for dialing in. 
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a great day.